Operator: Welcome to the Vivid Seats Q1 2022 Earnings Conference Call. My name is Richard, and I'll be your operator for today's call. [Operator Instructions] As a reminder, the conference is being recorded. I will now turn the call over to Kate Copouls, Head of Investor Relations. Ms. Copouls, you may begin.
Kate Copouls: Good morning, and welcome to Vivid Seats First Quarter 2022 Earnings Conference Call. I am Kate Copouls, Head of Investor Relations at Vivid Seats. Joining me today to discuss Vivid Seats' results are Stan Chia, Chief Executive Officer; and Larry Fey, Chief Financial Officer. By now, everyone should have access to the company's first quarter earnings press release filed earlier this morning. We have also provided supplemental earnings slides. The press release and earnings slides are available on the Investor Relations page of Vivid Seats' website at investors.vividseats.com. During the course of this call, management may make forward-looking statements within the meaning of federal securities laws. These forward-looking statements are subject to the risks and uncertainties as described in the company's earnings press release and other filings with the SEC. On today's call, we will refer to adjusted EBITDA and adjusted EBITDA margin, which are non-GAAP financial measures that we believe provide useful information for our investors. You will find a historical reconciliation of adjusted EBITDA and adjusted EBITDA margin to the corresponding GAAP measure in the earnings press release, supplemental earnings slides and other filings with the SEC. And now I would like to turn the call over to Stan.
Stan Chia: Good morning, everyone, and thank you for joining us today. I'm excited to speak with you about our strong record-setting first quarter and the continued momentum we are seeing across our business. In the first quarter of 2022, we achieved our highest ever Q1 Marketplace GOV and Revenues. The results we delivered in the first quarter demonstrate growing consumer demand over the last year and our outpaced performance in that environment. Fans are eager to attend live events, and we are well positioned to capitalize on that demand. As such, we have raised our 2022 guidance. Today, I'll share an update on the progress we made in the first quarter and discuss how we are continuing to position Vivid Seats to win as a differentiated technology marketplace with multiple products and platforms that facilitate engaging and memorable experiences for fans. Then I'll turn it over to Larry to share our financial results in more detail. Heading into this quarter, we were well positioned after finishing 2021 with record revenue in each of the second, third and fourth quarters as live events rapidly return. I'm proud of our team, which continued delivering awesome results in the first quarter of 2022, including $742 million in Marketplace gross order value or GOV, $131 million in revenues and $21 million in adjusted EBITDA. As a technology platform and marketplace, we sit at the intersection of supply and demand. From this vantage point, in Q1, we continue to see the strong and growing consumer demand that we saw in the fourth quarter. And it's been exciting to witness the energy of fans connecting with each other and their favorite artists or sports teams through live event experiences. During March Madness, we saw the most in-demand college basketball single-game ticket that we've ever tracked with Duke versus UNC. And in advance of the fall 2022 football season, we've seen excitement from consumers building since early March when our website traffic spiked with fans looking for tickets even without an NFL schedule. Additionally, even with the MLB season delay, we're seeing much stronger demand for baseball tickets compared to 2019, which was the last baseball season not impacted by the pandemic. It's clear that there is a strong drive from consumers for connection, and we are seeing the fulfillment of this desire happen through live experiences, which is reflected in purchasing patterns. Specifically, the percentage of concert ticket orders for more than 4 tickets has increased since pre-pandemic 2019. As consumers continue to seek out this kind of connection, we remain committed to empowering and enabling these moments. We are also seeing success with the investments we've made in our marketplace that continue to bring differentiated value to our customers, whether they are fans or sellers. For fans, our superior technology powers a marketplace that delivers an extensive breadth and depth of tickets at a competitive value along with an industry-leading rewards program. On the seller side, our superior technology powers SkyBox, the leading ERP for sellers. And both sides are supported by our excellent customer service as recognized by Newsweek for the last 3 years. These factors collectively give us the confidence that we truly have a right to win. We are not alone in this belief. Recent sentiment from both fans and sellers alike, who have used our product or our frequent ticket buyers show that our efforts have earned us some of the industry's highest Net Promoter Scores. We've seen this reflected in both the data we track as well as independent sources such as The Harris Poll, where we had the highest recommendation percentage among peers. As a growing and innovative technology company with validated customer sentiment, brand awareness is an important pillar for us to build upon our momentum and draw more users onto our platform. Alongside our brand investments, we will also continue to invest in performance marketing channels to further grow our Marketplace GOV. Amplifying our message to maximize awareness of what differentiates us continues to be an opportunity that we believe will have long-term benefits. While we are still early in these efforts and live events are a low frequency category, we ultimately believe strategic investments here will drive lifetime customer value through acquisition efficiency and retention benefits. That said, we view the ROI profile as a J curve with at least several quarters before results appear in our margin profile. We also continue to innovate, evolve and expand our offerings to engage with and reach new live event fans. As I said last quarter, user engagement within our product ecosystem remains central to our long-term strategy. We continue to quickly grow users of Betcha, our daily fantasy sports app. And those users are highly engaged, continuing to place more than 10 entries per month on average. Also, we have started surfacing cross-platform content and are pleased to note that customers, who are active on both the Vivid Seats and Betcha platforms play more frequently, place larger entries and deposit more than those who solely use the Betcha app. Betcha is currently in a hyper-growth phase off a small base, and we are investing in infrastructure to scale our offering. While our core business remains a live events marketplace, we view Betcha as TAM additive. And the high overlap between sports fans interests in live events and daily fantasy sports will allow us to leverage profitable customer acquisition and drive increased engagement through a more relevant and differentiated platform ecosystem. While we continue to make progress building and integrating our products and brand, we are still early in unlocking Betcha's potential and remain excited about its future prospects. We are also leveraging partnerships that amplify brand awareness while delivering incremental reach and revenue. We will continue to drive brand efforts with category endemic leaders, who reach a significant share of the live event going population. And we have seen our year-to-date GOV generated by key brand partners outpaced 2019 by a wide margin. With long-time partner ESPN, we recently launched Hot Ticket, a Vivid Seats branded and exclusive segment which spotlights the most in-demand matchups across all mediums, audio, digital and television. Additionally, in March, we strengthened our partnership with Capital One with the launch of Capital One Entertainment, a new ticketing platform for Capital One Rewards cardholders. Built and powered by Vivid Seats, this digital-first booking experience unlocks exclusive access to unforgettable experiences across sports, music and more for Capital One Rewards cardholders. We created this new experience by leveraging our marketplace inventory, technology, fulfillment and customer service capability. We will continue to seek out mutually beneficial partnerships in our existing ecosystem as well as in other categories that improve the experience for our customers while leveraging our existing brand, traffic and reputation. Before I turn the call over to Larry, I wanted to congratulate and thank both Riva Bakal, who has been promoted to the new role of Chief Product and Strategy Officer; and Ted Pickus, who has been promoted to Chief Accounting Officer, for their dedication and leadership. Both Riva and Ted are tremendous proven leaders who have been integral to Vivid Seats' success over the past few years. As we continue to invest in talent and support our proven leaders, these promotions were natural choices. All of us at Vivid Seats are proud of their accomplishments and privileged to work alongside them. And I'm confident that their talents will continue to move our business forward and deliver shareholder value. Again, congratulations and a sincere thanks to both Riva and Ted. With that, I will turn it over to Larry.
Lawrence Fey: Thank you, Stan. I am proud to present our financial results for yet another record-breaking quarter as our marketplace flywheel continues to perform. As Stan mentioned, we achieved our highest Q1 Marketplace GOV and Revenue ever in the first quarter of 2022 despite the impact of unexpectedly high cancellations. These results speak to the underlying strength in the demand environment and give us the confidence to raise our 2022 GOV and revenue guidance early in the year. First quarter Marketplace GOV, marketplace orders and revenues were all well above pre COVID levels from Q1 2019, which we view as the most relevant comparison period given the severe impact of COVID during Q1 of 2020 and 2021. Our record Q1 Marketplace GOV was driven by increases in both marketplace orders and average order size. Average order size was $368 for the quarter, which represents a 12% increase to 2019 levels. We have included average order size by quarter from 2019 to Q1 of this year in the appendix of our earnings presentation to provide additional historical context given the heightened average order size volatility experienced in 2020 and 2021 due to COVID. We have historically seen average order size grow 3% to 4% annually. Similar to Q1 Marketplace GOV, Q1 revenues of $131 million were up substantially compared to both 2019 and 2021. Our peak rate, which we calculate by dividing our marketplace revenues by our Marketplace GOV, was approximately 15% in Q1. While we reported rate was lower than in Q4, our underlying take rates remain largely consistent with historical levels when considering the impact of our loyalty program, which is accounted for as a contract to revenue, and other adjustments such as cancellation-related charges and chargebacks, which were elevated in Q1. The higher-than-expected cancellations in Q1 were comprised of a mix of both COVID and non-COVID related items. The Omicron variant impact on cancellations in Q1 was largely confined to January and reduced substantially upon the reduction of case counts. Subsequent to Omicron, there were several significant cancellations not related to COVID, including the MLB lockout, Celine Dion and Foo Fighters. These non-COVID-related cancellations accounted for roughly half of the cancels in the quarter. In the first quarter, we generated $21 million of adjusted EBITDA and a 16% adjusted EBITDA margin. We continued our investments into our brands, Betcha and our public company infrastructure, while also positioning our business to support higher GOV after running very lean during the pandemic. We believe we have now rightsized our G&A cost base at a more sustainable run rate. Our EBITDA in the quarter was also impacted by the previously noted higher-than-expected cancellation-related items. Specifically, canceled GOV in Q1 2022 was 4.5% of precanceled GOV, which compares to 1% in 2019. When an event is canceled, we refund customers and receive the ticket cost back from sellers but generally do not recover other expenses such as marketing. As such, our adjusted EBITDA would have been roughly $4 million higher with adjusted EBITDA margin roughly 300 basis points higher had cancellations been consistent with 2019 levels. In February, we completed a refinancing that further reduced our debt balance and interest expense. This refinancing reduced our debt principal outstanding to $275 million, extended our debt through 2029, reduced our interest rates and provided us with a $100 million undrawn revolving credit facility. We generated $24 million of cash from operations in Q1 and ended the quarter with $314 million of cash and $39 million of net cash on hand. In an environment of rising interest rates, we are well situated as a growth company that also has a long track record of profitability and strong cash flow conversion. We will deploy our cash and balance sheet to compete and also consider M&A for synergistic opportunities and further enhancing the product and technology that power our flywheel. Following robust demand in Q1, coupled with the MLB lockout resolution, which includes the full 2022 schedule, we are raising our 2022 financial guidance. We now anticipate 2022 Marketplace GOV to be in the range of $2.8 billion to $3.05 billion, representing 22% year-over-year growth at the midpoint. We are also raising our 2022 revenue guidance to the range of $520 million to $555 million, equivalent to 21% year-over-year growth at the midpoint. Due to the cancellation headwinds experienced in Q1, we are maintaining our EBITDA guidance at $110 million to $115 million. Our adjusted EBITDA guidance continues to reflect investment in our brand, investments to scale our daily fantasy sports offering and the build-out of our public company infrastructure. Relative to 2019, the aggregate spend in these categories collectively represents $33 million of incremental expense. Our robust cash flow generation allows us to pursue multiple exciting growth levers in our core as well as TAM additive areas such as Betcha. We continue to believe our adjusted EBITDA margins will be at or above 30% in the long term as we reap the benefits of these near-term investments. Even in 2022, as our full year guidance implies, we do expect margins to improve from the first quarter as cancellations trend back toward historical levels. I'd like to contextualize our strong Q1 performance and our now higher 2022 guidance within the broader macroeconomic environment and specifically within the live events environment. Our marketplace is a barometer of supply and demand, and order momentum through Q1 is suggestive of a healthy environment. We believe our business has built-in protections against inflation, as higher ticket prices will result in more GOV and because our revenue is based on a percentage take rate, higher revenues. Most of our costs are variable, and we anticipate would broadly move in response to inflation in a similar manner as our GOV and revenues. We are aware of the broad concerns regarding the macroeconomic environment and how that may impact consumer discretionary spending. I'd first like to confirm that our business is geographically focused in North America, and we do not have meaningful exposure to any of Ukraine, Russia or China. More broadly, our record volume for the past 4 quarters indicates demand momentum in the short term and secular trends that are in our favor, as we look further out. While the potential impacts of a recession would depend on specific facts and circumstances, the combination of secular tailwinds favoring experiences over goods, coupled with consumers being deprived of live events during the pandemic, gives us confidence in continued strong demand across our categories. On the supply side, artists are eager to tour again post pandemic as touring provides as much as 90% of artist income. We are seeing event capacity added for 2022 and hearing encouraging commentary around supply in 2023 and beyond. With that, I will hand it back to Stan for closing remarks.
Stan Chia: Thanks, Larry. In conclusion, Vivid Seats continued to break records this quarter, and I'm truly excited about the momentum we are seeing in our business. We remain confident in our long-term business outlook. And as we look to the future, we believe that our differentiated offering, superior cost structure, exceptional leadership team and scale will allow us to continue to drive meaningful growth and to capitalize on opportunities that drive value for shareholders. And with that, operator, I will open it up for questions.
Operator: [Operator Instructions] Our first question on line comes from Mr. Ralph Schackart from William Blair.
Ralph Schackart: First question, just in terms of brand investment and increased investments in performance marketing, Stan, I think you talked about on the call, can you maybe just give us some perspective how you're seeing those returns in both categories? You talked about ROI profile as a J-curve, but maybe just sort of give us a sense of kind of return on that spend and what you're seeing. And then I have a followup.
Stan Chia: Yes, sure. Ralph, yes, I think first and foremost, I think as we continue to invest in brand and product, and as we shared, I think we're seeing our efforts really resonate with consumers, right? Across the board, all of our sources tell us that I think there -- our investments there are yielding in the largest percentage of consumers recommending us. And we're really excited about all those Net Promoter Score increases. As we then look through, I think, where we're seeing some of the impacts of the brand, I think one of the more exciting components as we look at the NBA, NHL season that just ended. I think we've seen upwards of 10% increase in repeat rates, which I think are a combination of our brand and rewards programs working effectively. And then certainly on the performance marketing side, as we continue to invest in all things marketing, we expect that to ripple through those efforts as well.
Ralph Schackart: Great. Maybe just if you could maybe talk to more recent kind of quarter-to-date performance. Obviously, people want to get out again now that restrictions are lifted. But how do you think about that in context of increasing variants. Some sections of the United States, are you seeing cancellations at all? Or how is that maybe impacting the business?
Stan Chia: Yes. Obviously, I think I was looking at everything, we look for safety first amongst consumers. But as we see trends, and I point back at current quarter, all commentary around the industry, we continue to see a lot of bullishness in the space, fans wanting to get out there, our AOS, as we talked about, higher than historical growth rates as I think demand continues to outpace supply. And perhaps one other industry they have looked out at travel, I think you also look at how much are people traveling, right, to get to events. And we've seen fans now traveling almost more than 20 miles more than they used to, to get to an event. So I think overall, we continue to see largely that a lot of excitement from consumers and willingness to go to events.
Lawrence Fey: And then, Ralph, I know there was a good amount of mentioned around the cancellations in Q1 and how they were higher than we expected largely on the back of non-COVID related items. I think we can say that, well, we don't want to jinx it, as we sit here about halfway into Q2. We've seen a very meaningful reduction in cancels to date in Q2.
Operator: Our next question on the line comes from Maria Ripps from Canaccord Genuity.
Maria Ripps : First, in terms of like demand here remains pretty strong, and you sort of touched on this a little bit, but could you talk about what's sort of embedded in your guidance from the macro sort of standpoint sort of including elevated gas prices, consumer spending and possibly new COVID variants?
Stan Chia: Yes. So as we put together our guidance, I think that was, call it, early in the inflation story. And at the time, I think there was a lot more belief that the transitory element made sense and could hold. So I don't think longitudinally, it had the benefit of the kind of latest developments or it looks like it will be a bit more persistent and drive meaningful interest -- excuse me, increasing interest rates. But I think overall, the landscape as we can see it in our category has remained pretty resilient. We haven't seen it flow through the demand or impacting consumers in a way that we've heard others allude to. So that's certainly not a guarantee that, that won't change, but I think we're seeing the net consistent demand trends as we saw in the period when we put the guidance together.
Maria Ripps : Got it. That's very helpful. And then secondly, can you maybe just talk about how have attendance and pricing been trending for some of the marquee Q2 sporting events like the NBA playoffs, NHL playoffs, Masters, NCAA, et cetera?
Stan Chia: Yes. Sure, Maria. I think NCAA, I mean, maybe I'll start there. That was one. When we looked at that, pretty unbelievable across the season, I think a lot of renewed interest. I think some of the marquee things we've talked about there, that final Duke home game, I think we saw prices there rivaling Super Bowl prices, right? So I think it's such a strong group. And certainly, when we look at the actual tournaments under the same lens of how much is demand outpacing supply, we certainly saw that to be the strongest tournament we've ever seen. And what you look at really more recently, perhaps this past weekend, I think with F1 in Miami, we've seen F1 sales and certainly with a lot of renewed interest in the category tripling what that has been historically on the platform and average order size there north of $3,500. So I think we continue to see some of the marquee events, as you mentioned, draw a lot of strong interest from crowds and fans out there.
Operator: Our next question on the line comes from Stephen Ju from Credit Suisse.
Unidentified Analyst: This is [Francois] on for Stephen Ju. So I know it's still early, but could you please update us on some of the details and planned product integration so far with Betcha? And what have you learned so far? And what kinds of cross-promotion or revenue synergy opportunities do you think you can unlock going into the future?
Stan Chia: Sure. Thanks for the question. Look, we remain really excited about the Betcha opportunities. As I think the fan base and both in terms of the product offerings and the increased ability to learn more about customer interest through the platform continue to be really compelling reasons for us to invest and to think about integration is the right way. When you look at what we've done, you can clearly see, if you look into the Betcha product, that we've enabled single sign-on capability, meaning you can actually log into the Betcha app with your Vivid Seats login, which then allows us a lot of insight and the ability to understand interest again across multiple platforms. When you look at what we've been able to test, and I alluded to this in the prepared remarks, we continue to see users who are using both of our products today results in a much more engaged user across the platform, right? Whether they're playing more, whether they're depositing more, we're continuing to see that engaged -- user engagement across that, which continues to fuel bullishness on our side as we move forward with integration across the product and brand.
Unidentified Analyst: Got it. And then just one follow-up on I think the revamp of the website and the app has been a key initiative. So can you talk about kind of what kind of directional improvements you may be seeing so far in terms of engagement or retention? I know you mentioned the 10% increase in repeat rates, but was that from the revamp of the website and app? Yes, just general improvements you're seeing as you roll out these changes.
Stan Chia: Yes, sure. I think all of these things work together, right, as you look at our investments around brand, product, improved web, improved rewards program, I think the stat I shared earlier is one of all those things working together where we've seen repeat rate in 2 sports categories increased double digits from where they've been historically. I think it's something we're very excited about. The other thing I'd point you to, as we think about all of these investments collectively, is our ability to become somewhat of a discovery channel for users. And as we talked about, we've seen traffic coming to our website around NFL even before a scheduled release, right? So I think to us, I think again that's a fantastic sign of people coming to us and using us as a discovery channel, learning about the brand and subsequently at the right time converting over when there's a transaction. So I think all those things, I think, are a great culmination of all the efforts that we put into investing behind our product and our brand.
Lawrence Fey: And I might add one thing. As part of the new web rollout, there's both the front-end difference but then also some back-end improvements that allow us to iterate more quickly, run more AB tests, et cetera. And while that's an ongoing process and a benefit that will bear fruit over subsequent quarters and years, we've already seen in the first few months after we were live a number of those experiments yield meaningful improvements in click-through rates, as you start tracking through our funnel. And so we're very excited about what that back-end enhancement will enable in terms of new enhancements to the front end.
Operator: Our next question the line comes from Shweta Khajuria from Evercore ISI.
Unidentified Analyst: This is [Dave Peterson] pinching for Shweta this morning. One quick question following up on the demand question that was asked earlier, how much visibility do you guys have into demand trends for the year? And what are you seeing that you view now as leading indicators of demand?
Stan Chia: Yes. I think we can certainly look to a few different elements. As you think about the marketplace, there's an intersection of supply and demand. And so step one is verifying that you have supply and ideally growing supply. And I think we feel quite good that those indicators have been and remain quite strong, and the duration of that strength seems to be extending, not shortening. And generally speaking, that supply particularly in areas where there's variability like concerts, where they don't need to go on tour, will only come online if there's a belief that there's ample demand for it. So while it's certainly difficult to prognosticate on how people are going to feel 6 months from now, I think all of the indicators that you can see with some historical lag continue to remain positive. And then what we're seeing in the performance that we spoke to for the quarter, certainly, demand was robust throughout that period. So the real-time feedback was strong as well. So other than the theoretical concerns around shouldn't higher gas prices have an impact, shouldn't decrease in stock prices have an impact? Other than that quantification, we are not seeing or have anything that we can point to that would suggest a meaningful shift downward.
Unidentified Analyst: Great. And just to kind of follow up on that, for the quarter, any particular region or vertical live sports, concerts or theater that you could call out in Q1 that came in stronger than expected?
Stan Chia: Yes, I think we had -- it was a pretty nice quarter for concerts. And I think that generally fits with what you're hearing the folks at Live Nation say when they talk about an incredibly robust Q2 and Q3 calendar and also an underweight Q1 calendar. So I think they shifted out events in light of continued COVID concerns and bought themselves more time. But you have all of the backlog we previously talked about from events that were postponed in prior years being pushed into 2022, a lot of concert -- excuse me, artists eager to get out on the road in 2022. And the summer is concert season, so you're seeing that push into Q2 and Q3. And so it follows logically that folks will start buying for those shows in Q1, as they make their plans for the summer. And we did see that strength in concerts during the quarter.
Operator: Our next question on line comes from Tom Forte from D.A. Davidson.
Tom Forte: Stan, Larry, congrats on the quarter. All right, so first question then a follow-up. So how do you think about when you have excess sales like you did in the quarter and choosing between reinvesting back in the business from a technology standpoint or incremental marketing spend or letting it flow through to the bottom line?
Stan Chia: Tom, thanks for the question. I think for us, our long-term strategy has guided us on this, right, which is to make sure that as we continue investing, we see tangible returns over a length -- the right horizon for us, right. As we continue to see, I'd say the leading indicators to our investments across the marketing and product front, they've all been rather strong, right. We've talked about if you start from how have our investments in product resonated with consumers and sellers, I think the data is out there, right. Whether it's our data, whether it's independent sources, I think all of those investments are yielding in higher satisfaction amongst that group. And then the question becomes is that satisfaction translating into monetizable value for us. And as we look at, I think, increased repeat rates, as we look at the ability to continue to outperform on driving customers and GOV into our ecosystem, I think those all look like great long-term investments for us where we continue to have confidence in that. And so I think as we continue to invest, I'd point to all of the signs remain extremely encouraging that we are making investments in the right areas. I think the strength of our core business further allows us the ability to do that, right. As you look at, well, a business that has always been structurally profitable and where, on top of that, we're able to convert over 100% of free cash, I think that allows us a lot of the ability to really invest, I think, in the things that yield long-term results for us and our shareholders.
Lawrence Fey: I would add one thing, Tom. I think a lot of folks out there having to change their stripes in reaction to a palpable shift in the market and its view on profitability. I think we have the fortune of having long been focused on profitability all the way back to when the business was founded but through the private equity ownership. And so there is already built into the DNA a view of every project has to stand on its own from an ROI standpoint. If it's not working, you stop it. If it is working, you put more fuel on it. So no real shift to our posture relative to historical.
Tom Forte: Excellent. All right. So then the second question is the more fun one or the funner one. So Stan, I want to talk about your long-term vision and M&A. How should we think about your desire to operate multiple marketplaces, marketplace brands like Etsy has done rolling up the category like Grubhub's done, adding complementary assets, which you did with Betcha Sports or your build versus buy for incremental technology?
Stan Chia: Yes, love the question, Tom. As you know -- and by the way, I got to say I always love it when Larry pats himself on the back with the ex-private equity background so we are very disciplined in what I would continue to say and will remain so. And even in the area, I think, Tom, that you're bringing up here, I think the key for us as we look to invest are always around are there complementary areas that we believe we can truly drive synergy through our existing asset base. And I always go back to Betcha. It's such a great example of that. The consumer base, very complementary with us when you think through all of the signals of increased consumer interest that we get within the product, I think that continues to be something we're very excited about. The fact that it's TAM additive, is also another component, I think, that is great. And I think those principles when you look at that synergy, consumer value and engagement, TAM additive, I think that's going to continue to drive a lot of our decisions both on the organic but certainly on the inorganic front. And as we look at inorganic opportunities, again, that are out there, the build versus buy decision, I think we once again sit in a great position of strength, right, with a strong balance sheet, great cost structure and the ability to accelerate those efforts should they become available.
Operator: Our last question comes from Andrew Marok from Raymond James.
Andrew Marok : Stan, you touched on this in your prepared remarks, but I thought the Net Promoter Score data was really interesting. Are there a couple of key issues that you could really point to that's driving that delta especially on the seller side between Vivid and the rest of the competition? And I have an unrelated follow-up after.
Stan Chia: Sure. Andrew, thanks for the question there. I think if we look at it, if you start on the sell side, I think it just comes back to product and service, I think Vivid's origins, I think with 2 tremendous founders with lots of experience, I think, in the sell side of the business, I think our product and our service strategy. Again, as truly a marketplace with 2 sides, we've never forgotten that we have customers on each side of the equation.  And when you look at what we've done in terms of investing across our SkyBox platform, which continues to be the leading ERP with new features, better data, better integrations to allow sellers to grow and run their businesses independently, I think it's no surprise of the investments we've put there on top of, I would say, think about customer service and customer experience, we've certainly invested across that space as well. When you hear about our investments in our customer service, that certainly extends to the seller side. And so I think you see that difference certainly reflect in the seller sentiment on the NPS side. As you look on to the fan side of the equation, I think all the things we've been investing in for the past 2 to 3 years are truly coming to light and resonating, again, with folks who have actually used the product and are familiar with us and our frequent ticket buyers. Our investment in customer service, Newsweek being the best barometer out there and The Harris Poll independently, all indicating we have some of the best customer service out there. Our rewards program coming through as clearly a differentiated offering and then certainly the discovery elements across our enhanced web and app product. I think all of those things yield an ecosystem across the buy side and the sell side, where the differentiated features are translating into more value for our constituents. And that truly, I think, is reflected in the NPS scores that we see across the category.
Andrew Marok : Great. And then a quick one on cancellations. It's good to hear that it's trending in the right direction for 2Q. But as we get incremental news about tour cancellations or things like that, that may be unexpected, is there a good rule of thumb that we can have to kind of assess the sizing of such an impact for maybe like an arena style tour?
Lawrence Fey: Yes, I could give you -- yes, I think we had, hopefully, a fairly unique experience going forward with the Foo Fighters, where they were -- they and Celine Dion are both, you call it, top 10 type performers. They and MLD were all pretty similarly sized, and those 3 collectively made up about half of the cancels. So you can sort of back into a meaningful tour size in the $6 million, $7 million of GOV range, obviously subject to the number of shows and how many you canceled and whatnot. But I think that's a reasonable directional assumption for that arena style to it.
Operator: As we have no further questions at this time, I would now like to turn the call over to Kate Copouls for closing remarks.
Kate Copouls: Thanks, everyone, for joining us today to discuss our record first quarter. This concludes our call. Have a great day.
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.